Operator: Greetings. And welcome to the Intellicheck Mobilisa Third Quarter 2014 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It’s now my pleasure to introduce your host, Enrique Briz. Please go ahead, sir.
Enrique Briz: Thank you, Operator. Good day, and welcome, everyone. Thank you for joining us today for our 2014 third quarter conference call to discuss Intellicheck Mobilisa's results for the fiscal quarter ending September 30, 2014, and to discuss other business developments. In a moment, I will call upon our CEO, Dr. William H. Roof, to lead today's call and introduce the members of the Intellicheck Mobilisa management team who will be participating in today's conference call. Before I do that, I will take a few minutes to read the forward-looking statement. Certain statements in this conference call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, as amended. When used in this conference call, words such as will, believe, expect, anticipate, encouraged and similar expressions as they relate to the company or its management, as well as assumptions made by and information currently available to the company's management identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on management's current expectations and beliefs about future events. As with any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances, and the company is under no obligation to, and expressly disclaims any obligation to, update or alter its forward-looking statements whether as a result of such changes, new information, subsequent events or otherwise. Additional information concerning forward-looking statements is contained under the heading of Risk Factors listed from time to time in the company's filings with the Securities and Exchange Commission. Management will use to defined financial term adjusted EBITDA in today's call. Please refer to the company's press release issued this morning for further definition of and context for use of this term. I would now like to introduce Dr. William Roof, Intellicheck Mobilisa's Chief Executive Officer. Sir?
William Roof: Welcome to our shareholders and investors. We will begin by introducing our management team members who are here participating today. From our Board of Directors, Chairman, Admiral Mike Malone; and Directors, General Buck Bedard; General, Jack Davis; Bill Georges; Guy Smith are with us. Our management team consisting of Mr. Bill White, our Chief Financial Officer; and Mr. Russ Embry, our Chief Technology Officer also joined us. The outline for today’s call is to present the Q3 results and financials, to discuss Q3 highlights and to discuss our strategy for the reminder of 2014 and into 2015. On completing this discussion, we will provide an opportunity for shareholders to ask questions. Talking about Q3 financials, revenue for the quarter ended September 30, 2014 is about $3.2 million, compared to $2.6 million revenue in Q3 the year before. Overall, this revenue was up about 25%. As with last year, enterprise wireless continue as a solid component of our revenues, while we move our identity systems to a software as a service or SaaS model. Adjusted EBITDA for third quarter was $445,000 versus $287,000 for Q3 last year. The company reports net income for the third quarter of 2014 of about $328,000 or $0.07 EPS per fully diluted share, compared to a net income $16,000 or zero cents EPS a year ago. Our revenue, net income, EBITDA, bookings and backlog are all higher when compared to the same quarter last year. So let’s talk a little bit about our Q3 highlights. Some of the third quarters highlights include, new CEO joined in Intellicheck Mobilisa that will be myself in August and working with CEO through out in month of September. The CEO and SVP, Nelson or Bonnie Ludlow announced the retirement and they announce -- this retirement had become effective on 30 September and they -- he did retire from the company on that date. Selection of the new CEO, the Board asked me to assume the role of President and CEO and I began working on that capacity on 1st of October. Prior to that date, Nelson Ludlow and I address the shareholder via the teleconference on 23 September. Addition of new Board members, the Intellicheck Mobilisa Board of Directors added two new Directors, Jack Davis and Bill Georges, both law enforcement professionals to support our law enforcement technology initiatives. Wireless Internet for Native American facilities, we secured contracts to provide wireless internet bandwidth to remote native American facilities that includes schools and libraries. We began working on these contracts and continued installation and test processes anticipated that the work will be complete this quarter. Transportation Worker Identity Credential or TWIC expansion. Our TWIC program showed significant growth during Q3 as a program began gaining momentum at sea ports and within the gas and oil industry. TWIC revenue in Q3 was approximately $870,000. And some of the new customers who brought on Board in the quarter include Holt Logistics’, Gloucester Terminals in New Jersey, Port of Portland in Oregon, customer in Cleveland, Ohio, Watco Greens in Texas, Port of Houston, Texas, Port of New Orleans in Louisiana, the Washington State Ferries, and unnamed oil refinery in California. Moving on to Defense ID; our Defense ID program continues to support existing and new U.S. military customers having generated revenue over $1 million during third quarter. New customers during Q3 include Fort Leonard, Missouri; Fort Irwin, California; and unnamed National Guard based in the U.S. Midwest and Fort Meade, Maryland. And by the way these unnamed customers are because these customers have not given up permission to use their names, it’s not because we are trying to cover up the names. We have to have written permissions to use those. We don’t have that yet. Hopefully, we will be able to share that information with you in the future. Wireless Networks; our Wireless Defense Unit generated over $700,000 in revenue during the third quarter. The wireless team worked very hard to meet customer expectations and to bring Internet services to remote areas in the Pacific Northwest. We would like to say that wireless is tireless, but that is a pace our team maintains to meet their contractual obligations. Talk a little bit about strategy going forward We will briefly discuss the five points that I outlined during our 23 September call to shareholders focusing on resources, markets, products, processes, and intellectual property. Beginning with resources; we are properly evaluating our resources to ensure we maximize efficiency. We had begun implementing a more detailed level of project planning that we anticipate will allow us to operate more efficiently as we bring new project across our markets. The markets; we are in the process of identifying, sizing and planning to enter new markets for our technology to address customer pinpoints and existing business volumes. We are focused on three new markets including healthcare, education and disaster management and we implement scientific-based approaches to market entry that we anticipate will act as barriers to entry for competitors while leveraging our technologies for greater returns across our market. Product; we are evaluating product consolidation approaches that we anticipate will reduce our support requirements for hardware platforms currently running our software. We began the strategic product planning exercise with a goal of leveraging our existing technology to provide new products that will directly solve business products and time within the target markets this business product. Processes; we began implementing processes that we anticipate will have positive affect on all areas of our business. We will consider enhancing our infrastructure where necessary and appropriate to support these processes and provide efficiency throughout the organization. And finally intellectual property, we have begun identifying potential IP violators and have taken initial steps to inspect our IP with a goal to solve these initiatives and generate revenues both to our company and shareholders. We have also filed a new patent application in the past week and anticipate this technology will bolster our already strong patent portfolio. At this point I will turn to Bill White, our CFO to provide more detail on our Q3 financial. Bill?
Bill White: Thank you, Bill. And good day to our shareholders, guests and listeners today. I'd like to discuss some of the financial information that was contained in our press release for the third quarter ending September 30, 2014, that we released this morning. We anticipate that our quarterly report on Form 10-Q will be filed with the SEC this afternoon. We are very pleased to announce that revenues for our third quarter ending September 30, 2014, were up 25% over last year to $3.218 million compared to $2.579 million from the previous year. Identity systems revenues increased 51%. Wireless revenues decreased 21%. And booked orders for the three months ending September 30 were approximately $3.08 million or 100% up compared to $1.454 million in the third quarter of 2013. Our gross profit up $2,016,000 for the quarter or 62.6% of revenues compared to $1.78 million or 69.1% of revenues for the third quarter of 2013. Operating expenses, which consist of selling, general and administrative, and research and development expenses, decreased 4.4% to $1.65 million for the three months ending September 30, 2014, from $1.77 million for the same period last year. Adjusted EBITDA for the quarter was positive $445,000, up 55% compared to $287,000 for the same quarter last year. And the company posted a net income of $328,000 for the three months ending September 30, 2014, compared to a net income of $16,000 for the third quarter of 2013. As of September 30, 2014, our backlog, which represents noncancelable sales orders for products not yet shipped and services to be performed, was approximately $710,000, increasing 73% from $411,000 at September 30, 2013, 86% from $381,000 at December 31, 2013. Interest expense and income were negligible. And we have net operating loss carryforward of $41 million. Now I'd like to focus on the company's liquidity and capital resources. As of the end of the quarter September 30, 2014, the company had cash and equivalents of $3.06 million, working capital, defined as current assets minus current liabilities, of $2.9 million, total assets of $22.6 million and stockholders equity of $18.9 million. During the nine months ending September 30, 2014, the company generated net cash of $2,843,000 compared to using $1,042,000 for the nine months ending September 30, 2013. Cash used by operating activities was $2.3 million in 2014 compared to use of $1.04 million in 2013. We used cash of $96,000 in investing activities in 2014 compared to $73,000 in 2013. And we generated cash of $5,247,000 from financing activities in 2014 compared to $70,000 in 2013. On August 12, 2014, the company completed a 1 for 8 reverse stock split. The company currently has 4,932,057 shares of common stock outstanding. During 2011, the company entered into a two-year revolving credit facility with Silicon Valley Bank. Management has recently renewed this line of credit and executed the agreement on October 15, 2014 for one-year term. The max borrowing under the facility is $2 million. Borrowings under the facility are subject to certain limitations based on a percentage of accounts receivable as defined in the agreement and are secured by substantial all of the company's assets. At September 30, 2014, there were no outstanding borrowings and unused availability under the facility was $658,000. We anticipate that our available cash, as well as expected cash from operations and available under the revolving credit facility will be sufficient to meet our anticipated working capital and capital expenditure requirements for at least the next 12 months. I'll now turn it back over to Dr. Roof.
William Roof: Thank you, Bill. Before we entertain questions, a quick summary. Revenue for the quarter ended September 30, 2014 is about $3.2 million compared to $2.6 million revenue in Q3, the year before. Overall, this revenue was up about 25%. And I’m not sure if he is on the phone right now but I think I’d like to thank Nelson Ludlow for all the hard work he did in Q3 to make it successful. So I hope you’re there, Nelson, if not, I will see you soon. EBITDA for the quarter is approximately $445,000, a 55% increase from Q3 of last year. Net income is approximately $320,000 compared to $16,000 for Q3 of 2013. Backlog is approximately $710,000, up 73% from backlog reported in Q3 of last year. We experienced management team changes at the CEO and board levels. We are conducting research in anticipation of entering new markets. And we began taking steps to protect our intellectual property with goals to generate revenues from authorized use of our technology. Now, I’ll ask our Investor Relations from DGI International to help us conduct our shareholder question sessions. Thank you for your participation today.
Operator: (Operator Instructions) Our first question today is coming from Amy Norflus from Neuberger Berman. Please proceed with your question.
Amy Norflus - Neuberger Berman: Hi. Yes, welcome aboard and great job now you are in the team. Can you give me a sense of what the recurring revenue should look like going forward?
Bill White: Hi Amy. It’s Bill White. As we move -- as you know, we move into a SaaS model and as that SaaS model becomes more matured, our recurring revenue will increase over time. We haven’t gain specific numbers but it should be increasing.
Amy Norflus - Neuberger Berman: But of this 3.2 that we did in the current quarter, what percentage of that is recurring?
Bill White: We haven’t released that information. That information we don’t -- we haven’t released.
Amy Norflus - Neuberger Berman: Okay. Thank you.
Operator: Thank you. (Operator Instructions) Our next question today comes from [Al Michaelson from 118 Partners]. Please proceed with your question.
Unidentified Analyst: Thank you. Just in a very general sense, with all sorts of devices during eye scans and facial recognition and thumb prints on retail devices which address all sorts of data banks other than driver’s licenses and state. How do we -- how does our basic technology or our patent or position, how does it fit into that dynamic? Thank you.
William Roof: Well, thank you very much for your question. You mentioned several biometric identification approaches. And for those to work, the data has to be in a data base. So for example, for fingerprints to work, the person has to have a registered fingerprint in the database, somewhere whether it’s a federal or local data base perhaps DND. Same thing for eye scans or facial recognition that have to be registered somewhere. Right now, we are focused on our intellectual properties, which is the validation reading and validation of a driver license because everyone who is driving, should have a driver’s license and that data is readily available on databases. And our patents and intellectual property protect our right to use that technology and the technology extends beyond just reading the driver’s license, but it also extends to been able to tell whether the identification document is valid or fake and it also extends to multiple -- matching multiple forms of identity. So we feel that we are on the right track with that right now and we are looking at other forms of identity to move into our technology fields and I will be letting you know that goes in future meetings.
Unidentified Analyst: All right. Thank you.
William Roof: Thank you.
Operator: Thank you. Our next question today is coming from [Manav Runraoser] (ph) from a Private Investor. Please proceed with your question.
Unidentified Analyst: Yes. How do you do? I haven’t heard anything about Fugitive Finder. This was a big -- it was launched several months ago. You didn’t mention anything about it. What’s the status of it? I want to know. Number one, where have we made penetration with markets with geographic markets that we benefited? I would like to also know what kind of feedback, have we gotten from the people that we spoken to and not toward patents and shares department but some more meaningful areas geographically away from Port Townsend? And I would like to know if there were any trials or is anybody suggesting that they like to use product for new trials? And if any of the above can’t be commented on, I would like to know why we haven’t made penetration with this product?
William Roof: Thank you very much for your question. We have made penetration with this product. We have lot of interest from elite agencies across the country and using the product. It is not a short sales cycle to this product installed, because it requires that we have connections with the state databases, state law and force of databases. That requires a number of agreements between our company and the state. We have to become a trusted vendor where they are allowed to attach to their network and send data in and out of the state switches. So the answer to your question about penetration is we have a number of police departments outside of Port Townsend, both large and small, some very large who are interested in using the product. We are in discussions with the states, with the authorities in the states to be able to connect into their networks, so we can past data back and forth. And we anticipate that we are going to have some of these up and running in the near future. I want to say it’s not a real short sales cycle. We just sell the application. There is a lot of information technology backbone as we put the place for the sort.
Unidentified Analyst: Can you tell us where? You said penetration.
William Roof: No. I’m not going to tell you where today because if these folks decide to not to go forward then their names hanging out there. So, I think we will wait till we actually have the contracts in place and we are up and running and then we will make the announcements.
Unidentified Analyst: How about North, South, East or West?
William Roof: All of the above.
Unidentified Analyst: And we also haven’t heard anything about the annual meeting and if you could make some comments, I’m interested in incentives that management has for productive incentives, if you could go over some of those things?
William Roof: I’m sorry. I guess I don’t understand the question.
Unidentified Analyst: There was a board meeting, I mean an annual meeting today, correct?
William Roof: It’s still ongoing. We are not finished yet.
Mike Malone: There was an annual stockholders meeting today that is -- this is Mike Malone, the Chairman. I guess there was a stockholder meeting today.
Unidentified Analyst: Okay. Was this a vote-on -- I know that management would be giving some incentives for stock performance and such, which was very interesting to me? Can you elaborate on those and tell us more something about them?
Mike Malone: The only two issues before the shareholders today was the election of five directors. All five directors would we elected and designation of EisnerAmper as our Auditor. Those were the only issues before the shareholders. As for issues before the Board, that is not something that we are willing to discuss.
Unidentified Analyst: Okay. Are we also going to have -- back to Fugitive Finder, are we going to have an Android format as well?
William Roof: Yes. We actually, we already have an Android format. So we have both, iOS and Android.
Unidentified Analyst: So it can be used on any of those two devices?
William Roof: Yes.
Unidentified Analyst: Okay. Because I didn’t see any announcement of that. Okay. Thank you.
William Roof: Thank you.
Operator: Thanks. Our next question is coming from [John Randall] (ph), a private investor. Please proceed with your question.
Unidentified Analyst: Yes. I’m going to ask just one question of the eight that I ask, not the Board, you are all doing the earlier meeting. And that is I asked all the directors to be very conscious going forward, although this was a good quarter. It’s something that we don’t take for granted for the next quarter or two coming up and we’ve waited a long time to see us return to profit. But I’m concerned about the sales force not having a big enough, given the product and the patents and we think that given the patents, we carry-forward that you have that the stock is worth considerably more then where the market is placed, even though its up a bit today, but still far across from its high. So, again, I just want to go on rocking for the people that are listening in and know me to hear that we’ve encouraged all directors and management, not to take lightly, anyone that knocks on the door, as far as are buying the company. Although, they tell me and I believe there’s no one at present that might change, but we’re encouraging out the board to listen to all office and I think that they heard as loud and loud and clear? Thank you.
Mike Malone: Thank you, Mr. Randall. It’s Mike Malone. I appreciate your comment. I appreciate all of the questions you asked earlier at the Shareholder Meeting and I assure you that the directors understand their responsibilities in terms of an offer to purchase the company. We would form the special committee as required. But as you said, there is no need for that committee at this time, there are no offers. I’ll ask Bill Roof to talk as he did at the Shareholder Meeting about his thoughts for developing the sales force.
William Roof: Thank you, Admiral. We mentioned that a little bit earlier during the Shareholder Meeting that we are restructuring the sales force. We’re going to add personnel to the sales force and we’re also going to move the people closer to customers so that they have more face time with them. We anticipate that this will have a solid ROI and that we are looking ahead to the future with the goal of growth in both revenues and earnings, and feel that a professional, larger, well-positioned sales force is one of the key components to that.
Unidentified Analyst: Thank you very much.
Operator: Thank you. Our next question is coming from [Eric Barber] (ph), a private investor. Please proceed with your question.
Unidentified Analyst: Hello. I know that over the past quarter you had a mix of TWIC sales to basis that were former clients refreshing into the new product cycle, as well as what seem like the new customers. I was just wondering if you expect to see a mix in the future, similar to that where you have from your prior TWIC sale customers refreshing to the new cycle? And some sort of -- if you give some sort of estimate of how you feel the TWIC sale upgrade cycle is and sort of unlike this base ball terms like early innings, mid innings, where exactly you see that cycle going at this point? Thank you.
William Roof: Thank you, Eric. Its certainly is the goal of ours to be able to continue to sell to existing customers, some people call that old new business, old customer new business. We also have a strategy to go after new, new business, new customers to new business, new products. So, yes, we have had some success in going back to customers who are already customers of ours and being able to sell a new product to them. As far as the TWIC product, I would call it in the -- just toward the end of the early adapter phase, your marketing phases. We’re about at the end of the early adapter phase and have some good penetration into the market and we have some referencable accounts, which is going to help us getting to the next phase. Did that answer your question.
Unidentified Analyst: Yeah. Thank you.
William Roof: Thank you.
Operator: Thank you. Our next question today is coming from Steve Boilard from UCRP. Please proceed with your question.
Steve Boilard - UCRP: Hi. Thanks. Hi. The first questionnaire asked about recurring revenue and I am wondering what we have if anything that indicates that this quarter is not an anomaly or just fair to say that, recurring revenue is, I don’t know, say less than 50% at least in this past quarter?
William Roof: Again, the company doesn’t give guidance. We just announced earnings of Q3 today and we will be announcing our earnings for Q4 in 2015.
Steve Boilard - UCRP: Okay. Well, the implication then is that, not a lot is recurring revenue, so if it’s just an opportunity for you to give more color to that benefits, is that black and white thing because I think there is not much recurring revenue. Second question is, obviously, we have a strategy of adding sales force. We have some new products and defending our patents, those are the three drivers. In the short-term here, it sounds like we’ve got some cash burden coming in as part of implementing that strategy. Could you tell us little more about that?
Mike Malone: Hi. Again, you are asking me to forecast expenses and we just -- we don’t do that. The company has never done that. I think Dr. Roof was explaining that we were going to build our sales team. He didn’t give any specific numbers. I really don’t know how to answer the question other than we’re going to increase our sales team and we don’t give guidance.
Steve Boilard - UCRP: Okay. I mean, just for, bunch of us have been with the company a long time. We’ve seen on rare occasion a good quarter come out or as announcement on sales come out and then to say there are radically different results in succeeding quarters is an understatement. And so this one is beginning to feel as this call is going on, it’s more towards the anomaly side and something as a turning point in the company. It’s just an observation on just giving you an opportunity to tell us if it’s different. If it’s not different than that’s the case and I guess I should say backward way of disclosing them?
Mike Malone: Thank you. This is Mike Malone, the Chairman. I appreciate your comments. I understand them and I understand the questions that you’re asking. But our response remains the same that the company does not give guidance.
Operator: Thank you. Our next question is come from [Keith Bernsdel] (ph), a Private Investor. Please proceed with your question.
Unidentified Analyst: Can you guys hear me? Just a different way to, what’s the sales cycle looking right now in your backlog? How long is it taking from initial contact to a conversion of a customer?
William Roof: It depends on the product. It depends on the customer. What a customer is in a budget cycle. So we are looking at anywhere from 4 to 9 to 12 months depends -- like I said depending on this time of the year, if it’s a federal customer and it’s got (indiscernible) money at the end of the fiscal year, that helps to keep things up. But generally, I’d say four months onto a year.
Unidentified Analyst: So is it safe to say that the backlog that you are pointing in the previous quarter that is based off of someone has already been in the earlier side of that sales cycle.
William Roof: Once again, that’s projecting, that’s offering projections there on revenue in future quarters. We just don’t do that. It is something that I have being totally lost since I join the company as the CEO a month ago. And we are going to continue to implement that policy during this call.
Unidentified Analyst: That’s not projecting. I’m asking a simple question. You stated that you have $710,000 of back log. So, I’m asking you trying to qualify the probability of their backlog coming through, what’s the pull through of that on the sales cycle. So it’s not that I’m only asking looking already plan it. So if it’s four to nine month or everything that’s in your backlog that is someone that’s already being in the precious sales cycle or have they just come into the sales cycle in month one. I’m just trying to get a sense to that.
William Roof: Yeah. The backlog are people that are actually inclusive of the sale cycle. It would be non-cancelable orders that we’ve received but haven’t able to deliver the equipment and order at our installed project at this point. So it is sales that are in the implementation phase, if you will
Operator: Thank you. And our next question is coming from [Chris Tunnel] (ph) (indiscernible). Please proceed with your question.
Unidentified Analyst: Thanks very much. Most of the works in mobile payment space that you all have a very intriguing position in the government issued ID area which has been difficult to envision being digitized. And I wondered if you have any visibility on a day that might come whereby these government issues IDs made for every licenses might be digitally usable via mobile device much as what Apple Pay is trying to do with the credit cards today.
William Roof: We are looking at moving potentials as we go forward and evaluate our markets. So when we do a market evaluation, we don’t just look at the customers and the market size and the amount of budget the customer may have, but we also look at what technologies might come in and replace the current technology. So we are evaluating all those right now and we are in the evaluation stage and we will do what’s necessary to maintain market share as well as market share if even that includes developing new products based on new technologies.
Unidentified Analyst: And then someone close to it, sort of what’s your -- if you had to make a guess, do you think that capability would be doable in one year, five years, ten years, I am just trying to get a feel for where that part of the market might be in front of who actually want to accomplish something like that?
William Roof: I have been here a month, haven’t had a chance to look at that real hard. So I really can’t give you an educated answer in that.
Unidentified Analyst: Okay. Well, that’s enough for now. Thanks very much.
William Roof: Thank you. We have time for one more question.
Operator: Thank you. Our final question today is coming from [Jon Sandberg] (ph) from Private Investor. Please proceed with your question.
Unidentified Analyst: Yes. Thank you very much. I must say gentlemen after so many years of being an investor here close to a decade, we were one who think that today would be congratulating the call because we made a profit for a change. But I am getting a feeling from this call that not lot has really, really changed that Nelson maybe gone, but his ghost and spirit is still around. Perhaps you could do us a favor since most of us own the stock at 10 times what it’s trading at these days, some idea of your vision for the future. Since this call started, the stock has dropped half of what is moved up for the day and I don’t really get a feeling and stance of where you want to take this company. In today’s world, when we think that this company should be able to do 10, 20, 30 times the revenue that it’s done right and still it’s only a $20 million company. It’s a joke. In the last 15 years we’ve had companies come from zero to multi-billion dollar market caps. And I don’t get a feeling that you guys are really enthusiastic or that you have any kind of vision how to take this to a $100 million or $200 million or $3 00 million company, is that even possible anymore. Perhaps you can share with us your vision, I know you’ve always been there for a month, but I think we are all entitled to some kind of philosophy right now.
William Roof: What is your name please?
Unidentified Analyst: [Jonathan Sandberg] (ph).
William Roof: Okay. I think I mentioned before what my vision is. And we took a look at how we are going to approach the markets, the processes, the products, intellectual property and the resources in the company that we are going to stick by that. We are going to make sure that we are approaching the right markets, with the right products. We are going to do our homework and our research in the market to make sure that they are going to provide a growth opportunities in both earnings and revenues. We are going to make sure that our resources are used wisely and efficiently. We will put the right resources in place that we need. We will make sure that the products are consolidated so that we don’t have support issues with numerous different platforms and software versions out in the field. And we are going to make sure that we get the revenues that we deserve from our international property that we assure is being used by other companies right now out there and both companies own us royalties on our intellectual property. So we are going to pursue that too and that’s how we are going to get royalty in this company, that’s my vision.
Operator: Thank you. We reached end of our question-and-answer session. Let’s turn the call back over to management for any further or closing comments.
William Roof: Thank you very much, everyone. It’s been a pleasure. We got a little busy first month and I look forward to our next meeting.
Operator: Thank you. That does complete today’s teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.